Executives:  Randy Salisbury - SVP Robert Watson - President and CEO Nick Meeks - CFO, SVP and Secretary 
Analyst :  Mat Hewitt - Craig-Hallum Capital Group Charles Rhyee - Cowen & Company Richard Close - Avondale Partners Jack Wallace - Sidoti & Company  
Operator: Good day. And welcome to the Q4 2013 Earnings and Fiscal Year Conference Call hosted by Streamline Health. Today's call is being recorded. At this time, I would like to go ahead and turn the conference over to Randy Salisbury, Senior Vice President. Please go ahead, sir.
Randy Salisbury: Thank you. And thank you for joining us to review the financial results of Streamline Health Solutions for the fourth quarter of fiscal 2013, which ended January 31st of this year and for the fiscal year ended the same day. As the conference call operator indicated, my name is Randy Salisbury and as Senior Vice President and Chief Marketing Officer here at Streamline Health, I manage all communications including Investor Relations. Joining me on the call today are Robert Watson our President and Chief Executive Officer and Nick Meeks our Senior Vice President and Chief Financial Officer. At the conclusion of this morning’s prepared remarks, we’ll open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of the release, you can retrieve it from the company's website at streamlinehealth.net or from numerous financial websites. Per usual, before we begin with prepared remarks, we submit for the record the following statement: statements made by the management team of Streamline Health Solutions during the course of this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those reflected in the forward-looking statements included herein. Please refer to the company's press releases and filings made with U.S. Securities and Exchange Commission, including our most recent Form 10-K reports for more information about these risks, uncertainties and assumptions and other factors. Participants on this call and cautioned not to place undue reliance on these forward-looking statements, that reflect management's analysis only as of the day hereof. The company undertakes no obligation to publicly revise these forward-looking statements. On this call, the company will discuss non-GAAP financial measures, such as adjusted EBITDA. Please refer to our website at streamlinehealth.net and our earnings release for reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. These non-GAAP measures do not include certain items of income and expense that affect operations and other companies may calculate these non-GAAP measures differently.
Robert Watson: 
Robert Watson: Thank you, Randy, and good morning to all of you participating on today's call. First please accept my apologies for the delay in reporting our 2013 fiscal year end and fourth quarter. Early in fiscal year 2013, we made the decision that a switch to a major bracket audit firm was the direct decision for this Company as we looked at our strategic and operational plan for the next five years. During 2013, we also hit market capitalization levels that required us to provide an audit of our internal controls pursuant to Sarbanes Oxley or SOX. The convergence of those two events coupled with a change in our finance organization personnel, created a perfect storm if you will that contributed to the filing delay. The good news is that the actual audit resulted in relatively minor changes to the financials initially provided to the audit team. The bad news is that it took longer and consumed much more human and economic capital than it should have. But it would passed us in a pathway from improvement of our internal controls in front of us, we remain as confident today on our future as we did 3.5 years ago we began to form our strategy and build our team. I'll have more commentary on those points in a minute. But first, let me again express my thanks for your time today and your continued interest in, in support of our Company. Despite the fact that we are nearly five months into our current fiscal year, I do want to take a few minutes to look back on 2013. The year itself was another year of significant transformation for this company. We continue to make great progress in changing this company from a single solution perpetual license based revenue model company to a robust platform of software as a service based solutions.  This platform is designed to help our clients reduce exposure to risk, enhance their clinical financial and operational performance and improve patient care. I have said this before and will likely remind everyone of this again, this is a marathon exercise in corporate transformation. This is simply known as sprint. There was a tremendous amount of work done in 2013 to position us for the years ahead of us, both in terms of human capital and the development of our solutions offers. That said, in 2013 revenue grew 20% over the prior year to $28.5 million, 76% of which was recurring revenue including 27% from software as a service revenues and 49% from revenues related to long term maintenance agreements. Gross margins improved from 51.2% to 53.8%. By the way this is an area where we’ve had very material improvements in the last three years. In fact in fiscal year 2010 the gross margin was only 35.9%. Bookings increased 14% to $21.4 million. Again this is an area where we have seen steady improvement for the last three years, but admittedly an area that was sub-optimal to our internal plan for 2013. Backlog increased 11% to $56.6 million of which $21.1 million is SaaS based revenue, again good steady forward progress. Our solution suite was enhanced to include patient engagement via the Unibased Systems Architecture acquisition at the end of the fiscal year and Patient Care via the license transaction with Montefiore Medical Center. This solution in particular was an area of significant R&D investment in 2013 and will likely continue in to fiscal year 2014. We will touch more broadly on this topic as the call progresses. In an attempt to level set the playing field, let me remind everyone that in April 2013, we began to implement a very comprehensive and aggressive five business plan that contained four strategic objectives. We believe then as we do now that these four strategic objectives will be the primary drivers of our growth over the long-term. These objectives were developed by listening to and partnering with our clients to understand where those clients had gaps in or an opportunity for improvement in their existing information technology investments. This review of their IT investments is primarily driven by their need to better navigate the increasingly complex convergence of clinical and financial debt within their enterprises. These are strategic decisions that our clients are critical, their ability to make better clinical, financial and operational decisions. That said I am very pleased to note that we have made major progress in year one of our five year plan in each of the four key objectives set forth in the plan last April. By any measure we are far ahead of our plan. It is also worth noting that in April 2014 our Board revisited that plan and made only minor tweaks to it, we are staying the course. First we focused on offering a subscription based solutions optimization advisory service to help our clients maximize their return on their investments in our solutions. We design these new services in house, staff them in house and began to deploy them in the first quarter of 2013. The investment thesis here was very straight forward. This offering would augment sales by driving cross sell opportunities as we work more closely with our clients to understand their technology gaps as well as to ensure high rates of client retentions. Solutions optimization by design would also generate incremental subscription revenues. So far so good on this front. Our first client signed a solutions optimization agreement in February of last year. Today approximately 25% of our financial analytics client base has subscribed for this offering. As we move into fiscal year 2014, we are expanding this offering into our other solution suites. Second, as our clients began to look at the need to link clinical decision making and patient outcomes to financial results through analytics, we wanted to broaden our suite of solutions to include clinical analytics. As you know in October of last year, we announced the exclusive license to commercialize a clinical analytics platform from Montefiore Medical Center, Bronx, New York. This capability enables us to offer a meaningful and relevant solution that places us squarely in the population health management trend that is of critical importance to healthcare providers. Frankly our ability to empower our clients with clinical and financial analytics has never been more important. According to our leading investment bank's research team and a survey of hospitals CEOs in Q4 of 2013 and I quote “we won’t see accelerating HCIT spending growth in 2014, however HCIT vendors with robust analytics capabilities could experience a nice tailwind fueled by population health initiatives”. We introduced our new Looking Glass clinical analytics solution in February at HIMs, which coincided with the release of that solution to our sales team. The early returns as measured by sales engagement statistics indicates significant interest not only within our current clients but also with net new sales prospects.  Third, as the payment model changes facing our clients have started to become a reality, they have expressed an interest in how we might assist them as they begin to focus -- shift their focus to the front end of the patient engagement process. In a world such as we have today we’re keeping a patient in new enterprise network, it’s critical to better clinical and financial results that first contact point between a patient and provider is critical. Likewise as the broader payer market shifts to alternative payment models, providers must be more proactive in managing their patient populations both financially and clinically. Financially the provider industry needs to lower their back office patient financial services expenses on one hand and on the other hand they need to improve their financial clearance outcomes and point of service collection execution before any given patient in admitted.  Clinically they need to ensure that the patient gets the right care at the right time by the right provider. For example, to ensure that an asthmatic, diabetic patient preparing for ACL repair surgery is actually prepared for the surgical event clinically at patient might require multiple visits for lab work, radiology work and counseling prior to surgery to A ensure that the surgery takes place as scheduled, B, the clinical outcome is favorable and C, the risk of (radiation) [ph] is lower. To that end in November as part of our public offering we announced that we were in negotiations to acquire a company with solutions in both patient scheduling and surgery management. We negotiated the terms throughout the fourth quarter of the last fiscal year and closed the Unibased Systems Architecture transaction on the first business day of our new fiscal year. The offering from Unibased have extended our solutions suite to enable us to deepen our frontend patient access offerings that are critically important to the issues I just mentioned. These offerings will assist our clients in managing the risk inherent in their accountable care organization relationships as well as addressing the increased payment burden on the patient.  Fourth, it has been well documented in the trade press that healthcare providers are experiencing substantial downward pressure on revenue which in-turn has placed greater importance on cost and spend management. As amazing as this may seem, many of the largest healthcare providers in this country struggle with being able to map the direct cost of individual department operations to the revenue. Our business plan thesis is by offering a complete financial analytics solution including financial decision support and cost management capabilities, we will have a unique and compelling selling proposition.  Again in November, we announced we are in early negotiations to acquire a company with leading software-as-a-service based cost management solutions to help us augment our financial management suite of solutions.  Recently we announced that we had executed a definitive purchase agreement to acquire the assets of CentraMed Inc., a Carlsbad, California based company with highly regarded cost and spend management solutions.  We anticipate this transaction which is subject to certain closing conditions that have yet to be satisfied to close in 30 to 45 days. This acquisition will add an additional 15 clients and unlike the Unibased transaction there is no overlap among our current client base. However, as we look at our financial performance in 2013, it was obviously a challenging year for us as well as for many of our competitors. As we chronicle throughout the year in our earnings calls and at various investors conferences several factors outside of our control impeded top line revenue growth.  First, as we discussed on prior calls this year, we experienced implementation challenges resulting in delayed revenue recognition. We have a significant amount of committed orderly recurring revenue sitting in an unimplemented bucket in our backlog. Nick will provide additional color on this topic in his prepared remarks but it is worth noting that these delays impacted our ability to also recognize certain contractual milestones that would have allowed us to recognize professional services revenues as well as software-as-a-service fees. Point of fact, our fiscal year 2013 professional service revenue which is a good measure of implementation progress is 42% less than our own internal plan for the fiscal year. At 13% of the total revenue for fiscal ‘13, we were down from 16% in 2012. Our internal forecast aside if we have simply been able to maintain the same relative percentage in 2013 as in 2012, we would have generated over $850,000 in additional top line revenue in year, not to mention the financial impact of having additional clients reach go live status.  Bottom line, the delays in implementation materially impacted our top line revenue. (Delays) [ph] also negatively impacted our margins given that our human capital spend did not align well to the revenue we recognized. We made a decision mid-year to address the human capital challenges we and our clients faced by relying heavily on third-party consultants beginning in third quarter and throughout the fourth quarter when that spend hit its highest point.  Our thesis which did not frankly play out in our favor was to augment not only our team but to take on work that we would have normally layered on to our clients. It was simply an attempt to get our clients to go live environments so that we could recognize the revenue that sits in our backlog. That strategy which we abandoned at the start of this fiscal year did not result in materially faster go lives and the cost we incurred was nearly two times our plan. We considered in an investment in driving top line revenue but it simply did not work out in our favor and led to a material drag on adjusted EBITDA in Q4. Second, the delay in the ICD-10 purchase decisions impacted topline revenue. Computer-assisted coding solutions sales decisions were delayed when the news out that disastrous experience many of the early adopters of computer-assisted coding suffered at the hands of some of our well known competitors. The bottom line for Streamline Health was that we did not close certain computer-assisted coding sales opportunities as budgeted.  However, we did close two significant computer-assisted coding opportunities in 2013 one of which was closed as a software-as-a-service opportunity rather than a perpetual license sale and therefore negatively and materially impacted near-term revenue. For the record, we believe that the recently enacted legislation that delayed the ICD-10 transition for at least a full year should be good for vendors like ourselves. We have surveyed our clients and for the most part they are viewing this reprieve as an opportunity to be more thoughtful about how they go about protecting the revenue when the industry finally moves to the ICD-10 codes.  Let me give you an example, one of our clients advised us that they have more than 20 different vendors involved in their ICD-10 transition. This delay gives them the opportunity to right size the number of the vendors they will use for this project. Given that we are one of the critical go forward vendor partners they employ, we believe it will give us an opportunity to work more closely with them, to provide the right combination of our solutions to make the transition to ICD-10 successful.  In addition, it appears that the delay reduces the near term human capital resource pressures felt by our clients and should free up resources to be devoted to our implementations at certain client sites. In fact we announced last month that we had implemented three go-lives in the first quarter of this year, which represents the most go-lives we’ve had in any one quarter. And it appears, we are in pace to do it again in the second quarter. This should have a positive impact on our revenue recognition as we move through fiscal year 2014. Finally fiscal year 2013 top-line revenue was negatively impacted by the transition to software as a service based revenue. As mentioned on previous earnings calls our sales team was successfully guided a major new client to this revenue model. Although, we know in the long run this revenue model is better for our company in the short term revenue was negatively impacted by approximately $1.5 million in 2013. In summary the transition at Streamline Health continues. In fiscal year 2013, even in the face of some macro market headwinds, this was an investment year. We invested in additional solutions capabilities and in human capital talent to better position our company to take advantage of the runway in front of us. Turning our attention now to the fourth quarter of 2013, we continue to experience some revenue recognition challenges due to implementation delays that we have discussed today as well as in previous earnings calls. Clearly this has impacted our financial performance for the period. As I mentioned earlier, Nick will comment on a new metric that we will report, contracted unimplemented quarterly recurring revenue. We believe that this is a good metric to share as a measure of our company’s vitality, especially given the headwinds noted in my previous remarks. New contract bookings for Q4 were $5.3 million in the quarter essentially flat compared to Q4 of fiscal year 2012. Bookings plus renewals in the fourth quarter were approximately $6.6 million. For the year, bookings were $21.4 million and renewals were $5.9. Our backlog at the quarter end was $56.6 million up from $51 million in Q4 last year and up from $55 million at the end of the previous quarter. This is 11% increase over the prior year and a 3% increase over Q3 of this year.  I will now turn the call over to Nick Meeks our CFO to give us specifics of our fourth quarter and fiscal year 2013 financial performance. Nick.
Nick Meeks: Thank you, Bob. I would like to review some of the more significant aspects of the financial results for the quarter and the fiscal year ended January 31, 2014. As reported Friday, revenues for fiscal year 2013 increased approximately 20% over fiscal year 2012 of which approximately 76% were recurring, comprised of software as a service, maintenance and a limited amount of term licensees. Also as reported our fourth quarter revenues were down slightly from the same period a year ago, primarily due to the implementation delays we discussed in prior fiscal year 2013 calls and today. As we’ve previously discussed in this fiscal year we experienced the final run-off of a few client contract terminations announced in 2010, this did create a bit of a headwind for us last year. I think it’s important to note however, that at the end of the fiscal year we had nearly three quarters of a $1 million of unimplemented quarterly recurring revenue sitting in backlog. This was driven by new bookings with a total contract value of approximately $21.4 million for the fiscal year and $5.3 million in the fourth quarter. We believe this metric unimplemented quarterly recurring revenue provides added visibility into our overall financial performance as it relates to revenue under contract but it’s not currently recognizable. From a future visibility perspective, we finished the year with approximately $56.6 million in revenue backlog, representing 11% increase from the end of fiscal year 2012. 37% of the backlog is SaaS based revenue. In our earnings release we have included a table reconciling our net loss to the non-GAAP financial measure of adjusted EBITDA. Given the relatively large amount of non-cash charges and expenses not related to core operations, we feel that adjusted EBTIDA is a more meaningful measure in understanding our underlying cash based earnings. With regard to adjusted EBITDA for both the year and the quarter, as Bob mentioned 2013 was a transformational year. Fueling that transformation were a number of strategic investments to better position our company for future growth and to lessen the implementation delay challenges. Specifically during the second half of the fiscal year, we engaged a number of consultants in an attempt to bring clients live. But we were unable to reach the desired efficacy from those added resources. The bottom line is that no matter how many human assets we put on the ground, we did not turn the tide of our client lack of resources on the area. Consequently, beginning at the start of fiscal year 2014, we pulled back on those consulting resources. Despite that reduction in head account on our end, we have managed to bring out five new clients live so far this fiscal year. The dominant focus of our professional services organization year-to-date in 2014 has been the SaaS go-lives. And that impacted this focus on recurring revenue will play out an improved SaaS revenues, but modestly lower professional services revenue in the near term. During the fourth quarter, we added 12 development associates with the acquisition of our clinical analytics solutions which added to the R&D expense line. During the fiscal year, we made material and focused R&D investments to continue to enhance the value of our total platform to our clients but for a variety of reasons that work could not be capitalized and directly impacted our adjusted EBITDA. These expense items in the fourth quarter were a principle driver of negative adjusted EBITDA results in the quarter, as those expenditures reached an apex. Entering 2014, we expect continued improvement in the implementation timelines to drive higher top line revenue numbers while reducing these types of strategic investments. Transitioning to the balance sheet, I want to spend a moment reviewing our cash position. As reported we generated significant cash from operations during this fiscal year despite approximately $1 million of cash spend related to the year’s M&A activities. We finished the fiscal year with nearly $18 million of cash on the balance sheet including proceeds from the follow-on offering that closed in November of 2013.  During the year we deployed $3 million of cash to acquire the exclusive license of our clinical analytics solution from Montefiore Medical Center. And on net we retired roughly $4.5 million of debt, removing the mezzanine term note from our capital structure completely thus lowering our effective interest rate by approximately 200 basis points.  Finally this morning, I would like to spend a few moments discussing the delay in releasing this past year’s audited financials. First let me also apologize for the delay in filing and the concomitant uncertainty that visited on all of our stakeholders. I'd also like to take a moment to thank our entire finance team who labored many hours, nights and weekends to ensure that this untimely interval was short as possible. Part of the transformation year that Bob mentioned occurred in the finance department here at Streamline. In 2013, our company changed both our Chief Financial Officer and our audit firm. In addition we crossed the market capitalization threshold that requires full Sarbanes-Oxley compliance beginning with our 2013 fiscal year. This also triggered, as most of you know accelerated filing deadlines. These extensive changes were contributors to the filing delay. The audit itself was very thorough with a focus placed on a number of complex accounting areas including revenue recognition, capitalized software development and stock based compensation. The preponderance of all revenue was reviewed for the fiscal year 2013 and that resulted in less than a one-tenth of 1% change in the net revenue number originally presented. And virtually we did alter our calculation methodology with respect to capitalized software development to improve the overall accuracy of that value resulting in roughly $605,000 adjustment, $511,000 of which were from prior periods but all of those expense adjustments were won through the fourth quarter accounting. We also altered three variables underpinning our stock based compensation expense leading to an adjustment of approximately $48,000. Given the depth and breadth of this audit which we welcomes, I am very pleased as Bob noted earlier that the final audit results revealed a relatively minor set of adjustments to our financials, regrettably this resulted in significant stakeholder anxiety. On the learning side of this process, we realized that we have opportunities to improve our financial controls and improve the methodologies to better document existing financial controls. Going forward we will augment our human capital resources with both technology and additional staff based on the findings of this audit. That our team has now turned its full attention to the fourth quarter 10-Q filing which we will complete as soon as possible. Clearly, given this delay in completing our fiscal year 2013 audit, we will be late in filing our first quarter results. We planned to issue a press release on this subject per SEC requirements later today. I have every expectation from the second quarter forward we will return to and remain on a timely filing schedule. That concludes my remarks. I will now turn the call back over to Bob.
Robert Watson :  Thank you, Nick. Looking ahead for a moment, we will continue to focus our development efforts on the solutions we provide to our clients. One of our greatest strengths is the ability to listen to and follow our clients’ needs. Our solutions roadmap is a direct reflection of this invaluable input. We will integrate and cross-sell the solutions we offer today. We will continue to listen to our clients who augment those offerings as appropriate in the future.  Given that our first quarter of 2014 has already ended, I want to provide some insight on our performance in that quarter at a very high level. I mentioned earlier in this call that in the first quarter we realized three go lives that will generate recurring revenue beginning primarily in the second quarter of this year. However as Nick noted, professional services revenue did lag plan for the period. Also in Q1 the newly acquired solutions from Unibased led to a new and significant sale. In addition, we signed several significant long-term renewals in the first quarter. We view these renewals as a positive commentary in our company’s value proposition. The total of net new sales and renewal agreements in the quarter exceeded $10 million and was heavily weighted to those renewals. As you know we provide solutions to many of the largest healthcare enterprises in the country in a very, very vendor competitive environment. These are organizations that can choose to do business with anyone and they choose to do business with Streamline Health because our solutions deliver real and demonstrable value and a meaningful return on their investment.  With this in mind we have, as most of you know repositioned our solutions branding under a single naming convention. At the beginning of this fiscal year, we unveiled our new nomenclature at the HIMSS tradeshow in Orlando. All of our solutions are delivered by our Looking Glass platform. Through the Looking Glass platform, we can capture, aggregate and translate all of the disparate data both structured and unstructured residing across the nanoparts. The untapped intrinsic value of this previously random siloed and indiscriminate data can be unlocked and leveraged to the advantage of our clients. By the way to be successful given the market headwinds our clients face, they must unlock and leverage their own data. With the expansion of our solutions suite during the past year, we offer specific workflows in four distinct areas of need for healthcare enterprises, patient engagement, patient care, HIM coding and CDI, and financial management. The single Looking Glass brand will make it easier for our clients to see the connection and the relevance of our many solutions and assist our sales people in their cross-selling efforts.  Finally today, I want to update our previous early guidance on fiscal year 2014 to reflect the Unibased transaction. We expect our top line revenue to grow to $35 million to $37 million including the assets acquired in the Unibased acquisition and our adjusted EBITDA to expand to $6 million to $7 million in 2014 representing adjusted EBITDA margin percentage to be in the upper teens to low 20s. For the record, we will add back the unanticipated cost of our fiscal 2013 audit to adjusted EBITDA as we consider this expense to be the onetime cost of switching. This guidance does not reflect the CentraMed transaction as it has not closed. We will update our forecast when and if that transaction closes. Please note that this guidance does have some dependency on some license revenue in year. That said if we have the chance to take a material contract as software as a service, we would make that tradeoff as we did in fiscal 2013. When and if that happens, we will adjust our forecast accordingly. Each quarter, I remind everyone that this is a process, a transformation. We continue to pursue a measured yet aggressive growth plans and as such there maybe bumps along the way, frankly 2013 was one of those bumps. By methodically executing on our strategic plan, we believe we will continue to see positive results. Given the work we have done in 2013 to expand and integrate our solutions to better meet the needs of our current and prospective clients we believe that we are well positioned for continued success. Likewise, we feel strongly that our human capital investments in the prior year and in early fiscal 2014 will position us for continued improvements in implementation cycles. As I said in the past, we will continue to thoughtfully make investments in our future through increased investments in development and infrastructure. Likewise we will focus on long-terms strength and stability of our revenue stream by driving whenever possible our sales contracts to the software as a service model. We are building this enterprise for the long run. This is not a quarterly sprint but rather a plan of measured sustainable growth as we continue down the pathway to become the world-class healthcare information technology company I know we can be.  Finally as I have had for my first call with you three years ago, I want to thank our entire team of associates for the hard work dedication too and support of management strategic plan. I am convinced that the vision we had for this company three years ago, provide critically important solutions to our clients and net new sales prospects as they face increasing pressure to improve their overall performance is timely and acute. As always there is much left to do and many opportunities in front of us. We look forward to accomplishing great things in the years ahead. I will now turn the call over to operator for our question and answer session, operator?
Operator: Thank you. (Operator Instructions) And we’ll go first to Mat Hewitt with Craig-Hallum Capital Group.
Mat Hewitt - Craig-Hallum Capital Group: I am going to focus more on the future and 2014 and beyond given that’s where we sit today. In the press release and you commented briefly about it during the prepared remarks, the five go lives, could you provide a little bit more color on maybe who those customers are, which offerings you’re specifically seeing the most interest and getting those implemented, and then maybe a little bit about what you’re seeing here as Q2 plays out?
Robert Watson:
 : So by design we haven’t specifically disclosed which clients go live when. So I’ll decline to answer the question on who, if you don’t mind, as to the mix the predominant mix of the go lives were SaaS based analytics clients that had signed contracts either in 2012 or 2013.
Mat Hewitt - Craig-Hallum Capital Group: Okay, size, I mean are they typical deal sizes or are you seeing maybe an increase, are they bigger health systems, just trying to quantify those a little bit.
Robert Watson:
 : No these are all clients that signed in prior years and most of them would have been covered in press release we did about who they were. But they’re all pretty much in the ballpark of the standard size as we’ve been in the past with platform formally known as OpportunityANYware, now known as Architectural Management.
Mat Hewitt - Craig-Hallum Capital Group: Alright. And then I know that Q1 is traditionally a big renewals period for you. Maybe a little bit of additional color on what your clients or customers are saying about the renewals, are they excited to not only get the contract renewed but when you’re engaging them, how are those discussions linked to incremental opportunities?
Robert Watson:   In general, I mean it's sort of interesting, a little bit of history here. When we arrived in early ‘11, one of the first things we put in place was a plan to renew our clients on three to five year agreements. What I encountered when I arrived ‘11 was that most of the contracts were one year renewals which had you in this perpetual cycle of renewal work and also opened up the opportunity for some competitive challenges. Having done a pretty good job of that in ‘11, we found ourselves in the first quarter, now three years later having to renew a bunch of those. And frankly that worked out very well in our favor. So not only did we get them locked up again for three to four, five years, but it gave us an opportunity to engage with our clients on a broader looking large platform. As you know we didn’t really release that the platform concept to our clients in the market until February, though much of the work our sales organization did January, February, March and April of this year was out inside our current client base, retelling the story and all of which creates potential sales opportunities for us as we look at 2014 and beyond.
Mat Hewitt - Craig-Hallum Capital Group: Okay, maybe one for me and I'll hop back into queue, could you just remind us as far as CentriMed it is SaaS but what was their or what are their revenues today?
Robert Watson: We hadn’t disclosed them previously, and until that transaction closes we probably won’t.
Operator: And we’ll take our next question from Charles Rhyee with Cowen & Company.
Charles Rhyee - Cowen & Company:  Hey just wanted to, just a quick question on the quarter itself, in terms about the third party professional services, so it sounds like you made a push to drive greater implementation and what I am basically saying is that, is it all just a function that clients on the other end they didn’t have resources to deploy and therefore it just didn’t make a real difference. And is there any type of cost that you expensed in the quarter as you, did you have to incur any additional cost as you sort of exited sort of consulting contracts or were those sort of that well? Thanks.
Robert Watson: Yes, I mean fundamentally here is what we -- here is how the decision process played out for us and like I said in the prepared remarks, it didn’t play out in our favor. Our assumption was that given our clients' shortage of personnel that if we essentially layered more people onto our organization to take on work that they would normally do that we could accelerate the implementation process, that turned out to be completely wrong. And the reason is that an outside consultant stepping into xyz health system doesn’t have the innate natural knowledge of how that health systems IT infrastructure is organized and therefore cannot be that helpful. So that was our plan that didn’t work. So when we exited the contracts for the most part those contracts allowed us to simply cut them off. There were a couple that had tails on them that ran out in Q1 but for the most part at the start of the fiscal year we made some favorably significant reductions in our human capital spend.
Charles Rhyee - Cowen & Company: Okay, so in terms of that then going forward should we expect, you talked about the professional services revenue dipping a bit. Do our costs come down as well, in other words are we still going to be sort of losing money here to gross profit line in professional services over the near term or actually can we start, if you’re saying, if it’s two times the cost that may kind of exited that, if you kind of maybe just show where we’re directional we should be going on this line.
Robert Watson: So I think again in Q1 I think there will still be some negative margin in the professional services organization. One of the things that happens when we task our professional service organization to focus on getting the SaaS based clients live. So we create that stable long-term revenue base. In doing so we sacrificed the opportunity to realize professional services revenue around upgrades where their percentage of completion contracts or timing of material contracts. So we have a little bit of a disconnect playing out in Q1 but as we move to the latter half of the year that should normalize back. The goal is right now is to get everybody live as quick as we can and then go back to the more traditional professional services work, which has a pretty decent margin in it for us.
Charles Rhyee - Cowen & Company: Maybe then looking forward here, Unibased you talked about one large new contract win, can you talk about what they were exactly purchasing, was it the whole suite of the Unibased or is it anything specific, are they’re scheduling [indiscernible]?
Robert Watson: It was scheduled.
Charles Rhyee - Cowen & Company: Scheduled one, I’d like to talk about that a little bit, because it seems that schedule is a really big opportunity and then certainly one of your larger competitor in spaces, sort of trumpeted their entry into this market or they attempt to enter in this market. And it looks like from our checks that the opportunity to improve revenue for hospitals is significant here.  Can you talk about the experience that Unibased and what you’re having here right now, what is the ability to -- what -- how big of an opportunity can you help a hospital system improve revenue?  And then lastly, it seems like you guys delivered really as software as a service, meaning the hospital of then takes it on and operates it themselves? Is that the right model here? Is this something that can be outsourced? Or do you think that this schedule ends up being something intrinsic to health system? And I’ll stop there. Thanks.
Robert Watson: Okay. So let me answer the last question first and we’ll come back to the opportunity. So my current take on the market is that, the actual process of the scheduling, the people cited that business is a core hospital based function. So I don’t think there is a necessarily, certainly not for us but for others a near term opportunity in providing sort of a scheduling as a service itself as opposed to providing software as a service.  One of the reason I think that plays out as you take for example, they can (help some of our users) [ph], specific example take a health system that has made four or five acquisitions in the last two years. Those underlying EMRs are likely not the same EMR system as before acquiring hospital. As a result if you are in an environment where you are at risk either because of an ACL contract or some other relationship, if an individual has to call and make multiple scheduling calls to multiple sources, that creates a challenge of keeping that individual in the network and that’s the key thing.  So I think putting it in an environment where it’s a centralized scheduling where it interfaces to the multiple EMRs where people are aware that services performed that those multiple sites is important part of this.  Now as the opportunity site goes, we’ve been very pleased with the way this opportunity has played out for us. I mean again the driver frankly is the fact that these organizations are acquiring multiple physician practices, multiple ambulatory care centers, other hospitals and they are not on the same EMR. But you want to be able to make this scheduling event a tied together, sort of package, so you keep that patient in your system. Likewise the data that's collected in the scheduling process in our world can fire off the clinical analytics platform, also has impact on patient care as a result to enter the guards of clinical documentation improvement and other parts of our offering so it ties together pretty well for us and the receptivity of the client base has been pretty good.
Charles Rhyee - Cowen & Company: Okay. And just one follow-up on the new client win in Unibased, you said there were some scheduling, was it an existing of your other solutions? In other words, do they look at the value of scheduling and the system being able to, the data collected there to fire off on to the clinical side? Thanks.
Robert Watson: It was a net new sale, through one of our distributor partners.
Charles Rhyee - Cowen & Company: Okay. Great.
Robert Watson: [Indiscernible].
Charles Rhyee - Cowen & Company: All right. Thanks a lot guys.
Operator: And we'll take our next question from Richard Close with Avondale Partners.
Richard Close - Avondale Partners: Yes. Thank you for taking the questions this morning. Nick, I was curious, if you can go over the G&A spend in the quarter and R&D spend in the quarter, how much I guess have each or in each of those categories is one time in nature? And then how we should think about those two line items as we progress into fiscal '14?
Nick Meeks: So, as I noted in the remarks $602,000 of that is a prior period -- is specifically related to the R&D sorry, its prior periods running through the fourth quarter so that’s a onetime not coming back number.
Richard Close - Avondale Partners: That’s an R&D or?
Nick Meeks: That’s an R&D yes.
Richard Close - Avondale Partners: And what exactly is that, can you help me out on that?
Nick Meeks: It was a change in the methodology by which we capitalize software development that resulted in a collection of prior period changes, all of which will run through the fourth quarter.
Richard Close - Avondale Partners: Okay. So first quarter should drop down by that amount?
Nick Meeks: I think that’s a fair assessment. Now in the fourth quarter we added the staffing, the 12 associates that we hired from Montefiore into the R&D line that will be a persistent change. So if you look at less than 600 the change from Q3 to Q4 that’s the predominant shift upward there. At this stage, given the rapidity with which they are releasing software I don’t anticipate that we will capitalize much of their development expense, so probably live on the income statement.
Richard Close - Avondale Partners:  And then on the G&A side of things, obviously 4.2 million, I assume that includes a bunch of different stuff. Was there anything that you called out specifically on that front?
Nicholas Meeks: I don’t know if there is.
Richard Close - Avondale Partners:   Was there like persistent, is there audit expenses in there that you're maybe [Multiple Speakers]
Nick Meeks:   I mean there are some audit expenses in there but the convention is not to accrue them in the year. It’s to accrue what you expect them to be and then the balance as incurred, so the primary cost of the overrun is not there. What is there are a number of transaction expenses both related to the CLG transaction which closed in October and the Unibased and CentraMed transactions. Unibased having closed at the beginning of the year has the both majority of its expense in Q4. CentraMed has some but not all of its expense.
Richard Close - Avondale Partners: So, is it fair to say that if we look at G&A expense as we head into the first quarter or head into 2014 that I mean obviously in the first quarter you have all the audit expenses and everything that happened there probably some additional stuff with CentraMed but if we look may be beyond first quarter ‘14, is the G&A we drop down into, call it the 3 million to 3.5 million quarterly run rate on SG&A?
Nicholas Meeks: I think that’s reasonable I think, excising the non-recurring items so if we were to do another transaction that would obviously layer in expense there but I think as a run rate number, you are making a fair ballpark there.
Richard Close - Avondale Partners: Okay. And I guess one of my questions would be with respect to -- you cut off the use of third-party consultants that you made a decision to go with in the second half of fiscal ‘13, what was the real driving factor to really be able to get the implementations up and going and live? Was it just, you guys came to the end of it, you have been working and it just all happened in the first quarter or was there something that majorly changed to allow you to go live?
Nicholas Meeks: One external factor that certainly helped us was the ICD-10 delay rebalanced some hospital prioritizations. I don’t know that we'll ever be able to overcome the need for hospital resources to get our things active, so as they move from panicked around ICD-10 to having a longer runway to deal with that it rebalanced some resources and allowed us to close the gap. So, I think our core implementation services team is capable of doing the work necessary to bring our clients live in a very timely fashion. What we were unable to do is augment the client staff because you (need acknowledge that exist that possible) [ph]. That answers your question?
Richard Close - Avondale Partners: Yes. And the new metric that you guys are giving, can you go over that again, I didn’t quite write fast enough or type fast enough so.
Nicholas Meeks: Sure. It’s unimplemented quarterly recurring revenue and so it is revenue that has been contracted with the client but is unrecognizable at the moment almost always because the client is not live on the software.
Richard Close - Avondale Partners: And the number was?
Nicholas Meeks: For the fourth quarter it was $750,000.
Richard Close - Avondale Partners: Okay. And is there any type of comparisons that you can give us or I mean is this just a number we're going to get on a go forward basis on a quarterly basis or?
Nicholas Meeks: Yes. We will get it on a quarterly basis moving forward.
Richard Close - Avondale Partners: Okay. I guess final question would be for you guys would be just talking about the pipeline of new business, the opportunities that you see there. Are you seeing more deal flow, more RFPs may be characterize the opportunities that you have?
Robert Watson :  Yes, I would say Richard, this is Bob that obviously with the addition of the Unibased asset at the start of the fiscal year there is a change in the mix of the opportunities in the pipeline. At the end of Q3, we were at approximately 50% were financial analytics, 30% coding and 20% our HMM content management offering is the mix. Today, analytics in general continues to be in 50% range of the opportunities, however scheduling is now probably in 10% to 15% of the opportunity portfolio and growing rapidly, primarily because of some external activities in the scheduling market, that’s been well publicized lately is creating a significant amount of sales demand for us, sales opportunity demand. We continue to see the coding assets as again having some growth material growth in the pipeline, I think one of the sales in Q4 that were of note was sale where we bundled PDI computer assisted coding and our content management into a single SaaS based offering for client. So there is some activity around that sort of solution which I frankly think is clearly a positive for us and an interesting trend that's unanticipated.
Richard Close - Avondale Partners: So just to follow on that, so today financial analytics is 50% scheduling 10% to 15% coding, any hazard of a guess in terms of the pipeline in HMM. And then finally where does clinical analytics the Montefiore asset fall in the pipeline as well.
Robert Watson: So the 50% analytics includes the clinical analytics and the financial analytics bundled in that financial management suite as we refer to it today. So that has the sales opportunities for that -- for Montefiore, the solution formerly known as the Montefiore solution in that 50% bucket. Scheduling, let’s go at scheduling at 15% that leaves us 35 points to deal with 20 points of that 35 points is actually probably close to the 25 is coding related and then the balance is traditional HIM content management related.
Operator: And we’ll go next to Jack Wallace with Sidoti & Company.
Jack Wallace - Sidoti & Company:  On the last call it was mentioned that the implementation specialist team consisted of somewhere between 12 and 14 heads and that there was plans to hire additional 20%. Can you tell us roughly where you are there if all those heads were hired?
Robert Watson: Did you mean sales team Jack?
Jack Wallace - Sidoti & Company: I thought it was the implementation staff, but maybe you guys have bundled both the sales and the implementation team together as...
Robert Watson: No implementation team is much larger than that, the implementation team is much larger than a dozen people. So I think we are probably talking about the combined sales and marketing organization combined that direct sales people, the indirect sales people, the marketing support team in that 12 to 14 range.
Jack Wallace - Sidoti & Company: Sure, so talking about that team then, where those heads hired and where we’re at now?
Robert Watson: So like everybody else in the industry you always have some turnover in your sales organization, because you like to move out the non-performers as quickly as you can. That said we’ve been very fortunate on the hiring side in terms of our net new sales team. We’ve added resources, it's either two or three since the start of the fiscal year. And so we continue to add to that team, we expect a number of direct sales people in terms of pure sales people to over the course of the year to add four additional sales people.
Jack Wallace - Sidoti & Company: And then in terms of the backlog, looks like you did have some pretty solid growth in Q4. Just wondering maybe you can just expand a little bit on one of the earlier questions. Better or worst conditions both internally and externally, if you were to go ahead and convert the backlog into go live scenarios. 
Robert Watson: I think early returns I mean nearly five months, 4.5 months into the fiscal year, it does feel like there is some loosening of the resource belt if you will at the client side. I think our own organizations have matured as well which will create some improvements in cycle times. Again early returns are pretty positive. I think we said today in the press release few weeks ago we noted that we had three go lives in Q1, I think in the prepared remarks today we noted we had two additional go lives as we moved into the early part of Q2. Though the current course and speed we should hopefully add another go live or two in this quarter and continue down that path. So we’ll start taking a bite at that backlog number, and obviously it will move around as our sales team sells more things backlog goes up as we implement things, the backlog comes down. General it feels like a much better implementation environment today than it did six months ago.
Jack Wallace - Sidoti & Company: Great, that’s helpful. And then can you talk a little bit about the decision cycle on the client's end with some of the new accounts potentially being brought on. It seems like it’s getting a little bit easier now that the ICD-10 has a pushback about a year?
Robert Watson: You almost asked me a question where you could have gotten Jonathan Bush moment out of me. So look, sales cycles and healthcare are long. They have been at this for 30 years, they’re pretty much the same. That’s said, the reprieve on the ICD-10 create an environment where clients could reassess their vendor selections, reassess the strategy they want to deploy and we had a fair number of our clients, current clients for example in their cycle in 2013 make the decision to go down a dual coding path as opposed to computer assisted coding and we’ll level up their resources with people in the fall of this year. Now with the delay for year, they can be more thoughtful about whether or not they actually deploy computer assisted coding and cut back on the spend on those coders, cutting back on the spend on the coders freeze up dollars to be used to other parts of the organization hopefully to get some of our projects implemented. So there is a set of events going on that again is not an overwhelming perfect storm, if you will, but it feels pretty positive as we move in the year.
Jack Wallace - Sidoti & Company: And you touched on the fact that hospitals may be able to reconsider a number of things, strategy vendors et cetera outside of your M&A activity, from your advantage point just give us a status of the competitive landscape and if you’ve been able to again outside of your M&A activity take market share?
Robert Watson:
 : I mean most -- in our analytics solutions on the financial side of the analytics for the most part that’s taking share and taking share from the obvious cast securities. And the coding arena those tend to be competitive Greenfield opportunities, you’re not taking share from someone, but you are competing, but again the obvious cast of characters that you’d expect in the coding situation.  And the content management HIM space, you know oddly enough that’s for the most part Greenfield primarily driven by those organizations that’s selected Epic and Epic as we know does not have a content management offering and we’re one of the four preferred vendors, so it creates a four horse race competitive environment in those Epic shops. On the scheduling side, it’s interesting that what we’re seeing is in the commercial sector of our scheduling business, our sales opportunities are generally not competitive. And our governmental sales opportunities they obviously are competitive, but in the commercial market the scheduling opportunities for the most part are Greenfield opportunities and not a lot of competition I think there, our biggest competition there is the largest and most difficult competitor in healthcare which is no decision. And if we look at our opportunities that move through our pipeline where they fit for long periods of time, that’s really an opportunity where the competition is no decision and that no decision is either timing, cost, any number of things, but that’s the biggest competitor.
Jack Wallace - Sidoti & Company:  Great that will be all for me. Thanks again guys.
Operator: We’ll take our next question from Bruce Jackson with Lake Street Capital Markets.
Bruce Jackson - Lake Street Capital Markets: Hi, good morning. So you guys were able to do better with your acquisition evaluations then anticipated you’ve got some cash, I was wondering if we could get your current thoughts on the product portfolio? Are there any areas you’re looking at? Do you feel like you need to do anymore acquisitions or do you think you might be focusing just solely on execution for a while?
Robert Watson:
 : For the most part I think we’re in execution mode, and I’ll define execution as not just sales execution but also integration execution, integrating these platforms is critical. And that’s -- we highlighted the R&D spend in the call we’ll continue to see some of that in that arena.  That said on the inorganic acquisition side to the extent that there are opportunities to come our way will be opportunistic if it makes sense, we think it makes sense for our clients we will, but primarily we’re pretty much head down and answer to your other question are there gaps in the portfolio, I mean I’ve said this before that I think there is one particular area that we presently interface with our competitors and should an opportunity arise we'd probably look at it, that’s in the area of what’s traditionally called contract management, but we’re not out there aggressively seeking it at this point.
Bruce Jackson - Lake Street Capital Markets: Okay great. And then if I could just toss in one question on ICD-10, originally you had module that would allow your clients to transition over, now they’re looking more at the computer assisted coding types of products. Do you have any sort of ballpark numbers on what that conversion rate looks like selling to the computer assisted coding and the revenue bump you might get for moving from the module to the full package?
Robert Watson:  I can’t give you a conversion rate, because we’re early in that process. So that decision to delay we’ve made early in the quarter and it takes healthcare organizations even when you are a current vendor like ourselves some period of time to make a decision. That said, the number of those opportunities in our -- if you look the percentage of our pipeline that’s coding related, an overwhelming majority of that pipeline are current clients reviewing the opportunity to move from a dual coding environment to computer assisted coding. We haven’t talked about pricing value for those solutions sets in the past and probably won’t today but it’s -- they’re very sizeable opportunities. Because it’s very complex implementation, the software itself is credibly robust and so the price points are quite high.
Operator: And we’ll take our follow-up question from Charles Rhyee with Cowen & Company.
Charles Rhyee - Cowen & Company: Hey I just wanted to follow up on the sub-metric you guys are talking about the contracted unimplemented quarterly revenue that was 750,000 in the quarter. Just to clarify you’re saying that this is revenue that is unimplemented due only to client resources and my question really is around what defines that for you guys? Like how do you figure out that something goes from back -- that should just be in backlog versus this revenue could have been recognized had the client been ready. Thanks.
Robert Watson: So the contracted unimplemented recurring quarterly revenue isn’t backlog. So when we sign a contract, so for example we sign a contract that’s $0.25 million a year in SaaS revenue, that it is a five year deal $1.25 million go into backlog. The quarterly uncommitted -- committed quarterly revenue number will jump by one-fourth of $250,000 going to that number. So the numbers are tied together.
Charles Rhyee - Cowen & Company: Right, I understand that so I mean, is this metric really only to show sort of what our next sort of 12 month effectively of our backlog really is more than really a reflection of what could have been in revenue. I am not sure why this value is necessarily more meaningful than just backlog itself or revenues.
Robert Watson: Because backlog itself, the channels of backlog itself and then we breakout the buckets, but what you can’t tell from the buckets is what the quarterly impact to that revenue is, when it’s implemented. So what we are trying to get out there to say look there is in this backlog number are x dollars that could have been revenue or should be revenue, could have been revenue in the prior quarter, will be revenue at some point in the future, to sort of give you a guide, to say look the sales organization is producing, we’re starting to have visibility, better visibility on the revenue number and we’re trying to use it as a gauge to give everyone better visibility into what revenues in front of this, that’s already been contracted for that we simply need to get and simply is probably nothing.
Charles Rhyee - Cowen & Company: But it’s not a reflection really of, it doesn’t say anything to the timing or the pace that you can necessarily implement that if we are more successful employee we’ll get it sooner, if we have delays like we had sometimes in the past, there will be later. Is that right?
Robert Watson: That’s correct.
Operator: And we’ll go ahead and take our next question from Mark Khill, he’s a private investor.
Unidentified Analyst: Acquisition of CentraMed and Unibased, are you going to consolidate everything to Atlanta?
Robert Watson: Not a question that I am prepared to answer today Mark.
Unidentified Analyst: Okay, with respect to Unibased, they have a surgery management business on, does that make your PreOpWare redundant?
Robert Watson: Yes, fundamentally.
Charles Rhyee - Cowen & Company: Okay, last question, regarding the ICD-10 delay issues, the customer is it still a number one problem from them? Where does it rank in your priority list?
Robert Watson: Well let’s separate the scale of priorities, so I would say in terms of long-term fear of long-term financial stability of a health system, the ICD-10 conversion is at the top of every CFO’s minds here, their panic fight. Does that make it necessarily top of mind for the IT department, probably not, so it’s that battle, that internal battle between the revenue side of the house and the technology side of the house inside our clients’ to create some of the drag on implementation timelines and other challenges. It’s just that natural conflict but I can take from a fear standpoint it’s the single, in my view, it’s the single biggest anxiety point for our CFO clients, our IT clients the challenges how do I get enough resources to get Epic implemented are all scripts or whatever.
Unidentified Analyst : I think there is just one other question, with these acquisitions, are you inheriting any other partnerships?
Robert Watson :  Yes, with the Unibased acquisition, we inherited two distribution relationships and one of them generated a sale in the first quarter of fiscal year 2014.
Operator:  That concludes today’s question-and-answer session. At this time I will go ahead and turn the call back to Mr. Salisbury for any additional closing remarks.
Randy Salisbury: Thank you, operator and thanks everyone for your interest in and support of Streamline Health. If you have any additional questions or need more information please feel free to contact me at randy.salisbury@streamlinehealth.net or call me directly at 404-229-4242. We look forward to speaking with you again as soon as possible when we report our first quarter 2014 earnings. Good day everybody.
Operator:  And that does conclude today’s conference. We thank you for your participation.